Operator: Good day, ladies and gentlemen. Welcome to the Lucara Diamond Corp. 2015 Revenue and Cost Guidance Conference Call. I would now like to turn the meeting over to Mr. William Lamb, President and Chief Executive Officer. Please go ahead.
William Lamb: Thank you very much Wayne. So with me I have Glenn Kondo our Chief Financial Officer as well as Tony George our Senior VP. And I would like to thank everybody for dialing in or logging on to webcast for our 2015 guidance conference call. And on the first slide there the 2015 production guidance. So when we look at the total tonnes mined in comparison to what we did this year it’s between 3 million and 3.5 million tonnes mine of ore, a lot of that has been stock piled and as low grade material that goes on to our lots of mine stock piled for processing into back end of the mine life. So for 2015 we do expect to mine less than that between 2.5 million and 2.8 million tonnes of ore. On the waste stripping we’re entering our second year of higher waste stripping and increasing the stripping by almost 2 million tonnes, so the guidance there between 12 million-12.5 million tonnes of ore, and this good as we now do phase 2 push there and specifically around the south lobe. And in terms of the overall tonnes mined and in those we’re looking at a stock increase there with the plant optimization project being completed at the beginning or half way through the second quarter next year we will have additional capacity in terms of uptime and not capacity actually in availability to process more material for the out looking and getting back up close to the 12.5 million tonnes which is the design capacity for the process plants compared to the 2.2 million to 2.4 million tonnes which we expected to finish 2014 with. Moving on to Slide Number 2 the financial guidance in respect of revenue and cost, on the very first line then and I think I’ll just start off by iterating here that this is diamonds sold, it’s not diamonds recovered. If you look at our 43-101 that the financial model there and we do have a much higher value in terms of diamonds recovered of roundabout 460,000 carats. We will be using this year to better manage our diamond sales. So what we’re looking at doing is having and at the end of the year one-fourth sales in sort of flux it gives us a bit more time to better set up the assortment and make sure that the quality categories are correct and the next time we’ll still only be selling the same as this year to 400,000 and 420,000 carats for the year. In terms of revenue where we started off the year with a revenue forecast in 2014 at 150 to 160 and that was based on the results which we had coming out of 2013 of $180 million sold, guidance that which we increased midyear for 2014 to 240 million to 250 million and now we’re looking at necessarily coming in about $250 million and using that information, as well as the resource based values which we have for mainly the center in the south lobe we have a revenue guidance number over 400,000-420,000 carats sold between $250 million and $240 million. For that and really because of that increase in complexity of the valuable process plant we do foresee a slight increase in the overall dollar per tonne mold growing from $31 from $33 per tonne up to between $33 and $36 per tonne for 2015. If we sort of break that down slightly you can actually see the higher cost in relation to per tonne mode excluding the waste in relation to 2014 and that obviously it also takes into consideration that the increased waste which we’re going to be mining during 2015. In terms of the overall mining cost, we’re looking at between 350 and 325 per tonne mined both ore and waste and the processing cash cost of between 11 and 12. Obviously with the plant optimization project currently on the go when that is complete we can see that with the increase in labor and increase in power consumption et cetera. That is necessarily the major component of the increase in the overall dollar per tonne process. In terms of our on-site departmental costs, this is all the intangibles that is still very-very important part of the overall process and specifically security, technical services and mine planning and et cetera. And we’re looking there at between $3.4-$3.5 per tonne and in the normal G&A staying consistent through this year compared to what we had, next year compared to what we had this year that’s about $280 to $290 per tonne. New cost in those explorations, I mean we’re still quite excited about and that’s sitting at $3 million the expenditure for next year, that does not include the capital invest on the next slide. And then sort of on the tax front and this is I guess for us a moving target as we see our revenues increase so does the tax rate. And so where we’re predicting with the capital expenditure which we could also offset some of those taxes this year. This year we’re looking at paying between 34% and 36% tax and with lower capital expenditure next year and our tax rate didn’t start to increase to between 35% and 37% for 2015. If we move onto Slide 3, just a continuation of looking at the capital expenditures and in terms of sustaining capital, we had $5 million for 2014. That number increases to between $7.5 million and $8.5 million for 2015. It should be noted in that that it is sort of exceptional as one-time exceptional items and we do expect out of a $5 million total capitals for our mill relining machine to spend up to $3 million of that in 2015. And we do see sort of later on that the number is coming back down to where we ended the year 2014 and closer to $5 million per year. In terms of our exploration expenditure, on the capital front between $4 million to $5 million for our Botswana plant. We do forecast that at least $2.5 million to $3 million will be spent during 2015. And then we’ve got the remaining $1.5 million and it is actually spent through the end of 2014. In terms of our plant optimization, we still remain within the expected budget of between $50 million and $55 million for that. $40 million is expected to be spent by the end of 2014 with the remaining being spent in 2015. We do sort of expect that project as in terms of the capital but also in terms of the schedule to be complete and up and running midway through the second quarter next year and obviously that then opens up opportunities for us to increase the volume of South Lobe material which we can process, which is a significant revenue generator for us. And just jumping back to sort of the overall revenue profile, if we look at next year and it was included in the guidance note while we wait for the plant optimization project to be completed, the majority of materials through the first almost probably 4 or 5 months of the year will be centered around materials as to process plant to actually treat this material being low yield material. And it’s around the inclusion of the XRT machines where once those are up and running, we can start to probe some of the more dense high yielding materials which contain a significant portion of our value from the South Lobe. So we do see our revenue being skewed towards the backend of next year, but still coming in at that $230 million to $240 million revenue for the 2015 fiscal year. That concludes the presentation. Wayne if I could hand back to you for the question period, please.
Question-and:
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] Our first question is from Craig Johnston from Scotiabank. Please go ahead.
Craig Johnston: I have a couple of questions here. First, well relating to kind of proportion of production, wondering if you could share what proportion of production comes from the various lobes? What you saw in 2014 as well as what you expect to see in 2015?
William Lamb: So if we look at the first half of 2015, the majority of material for the first four or five months is totally from stockpile which is our low grade stockpile and North Lobe material. And then as we get into the backend of the year, it’s most probably a good split up to 70% from the South Lobe and the remaining material coming from the Centre Lobe. And almost no material from stockpile and North Lobe gets processed in the second half of 2015.
Craig Johnston: And then from a mining perspective, will it be fairly consistent across the quarters?
William Lamb: Sorry and just to clarify the question Craig, when you say the mining in terms of the tonnes mined.
Craig Johnston: Yes tonnes mined, yes amount of tonnes mined and then I guess even I will go further and ask just in relating to where you’ll be mining say on a quarter-by-quarter basis?
William Lamb: All right so the tonnes mined, so in terms of the overall volume stripped and tonnes mined, that’s fairly consistent across the year. There’s no period where we mined more tonnes in one quarter. What we do have is the mobilization of larger trucks specifically to deal with the increase in waste stripping, but that then allows us sort of a lot more flexibility in terms of moving the tonnes so we are very happy with that. And then very similar on to the first one, we will be stockpiling to the South and Centre Lobe material the high yielding material during the first quarter, while we sort of process material from the South Lobe. And in mining at the backend of the year is going to be centered around, as I mentioned material from the South and Centre Lobes.
Craig Johnston: And then just in terms of carats recovered, you kind of hinted that it’s going to be close to the 460-470 in the feasibility study. Is that a fair assumption for us to use or is it maybe kind of in between 400 to 460 range?
William Lamb: It’s very large range. I didn’t mention 470, I just said 460 so I think it would, most probably we said that if in terms of the mining, 460 will be the max with 400,000-420,000 sold and now it gets that in so it leads into what you will end the year with in terms of inventory?
Craig Johnston: And just kind of one more question relating to processing cost, once the plan upgrade is finished what's kind of the targeting processing cost per tonne that you are aiming for?
William Lamb: Well as we guided in the guidance there, we expect it to be between 10 and 12. What we have done specifically with regards to XRT machines we do have a service level agreement in with the OEM just to make sure that those machines in terms of both maintenance, up-time availability et cetera is maximized and we have specific guarantees et cetera included into that service level agreement. They are naturally the more important part of the overall process. So when we start to look at the $11 to $12 per tonne move in terms of processing cost, we are very comfortable with that number because that very large component is fixed cost. We will do obviously do as much as what we can to reduce the overall processing cost by looking at various other consumption tower cost et cetera. But I think again very similar to what we've seen through this year. Areas where we do expect sort of some increases those are specifically around power generation and not power generation we have got to be there on top but actual power costs in Botswana and I am sure that most people are aware of power issues in Southern Africa, we are very fortunate that we actually haven't seen any major impact from any of the rolling blackouts in South Africa affecting the overall operations on the mine site but we do based on that expect higher power costs going into 2015. And that's why the number is higher than what we've seen this year.
Craig Johnston: Okay, thanks William. I will jump back in the queue.
William Lamb: Okay, Craig, just before you go, Glenn just wants to sort of run through some stuff on the processing cost as well for you.
Glenn Kondo: Yes, Craig, it's important to know that the exchange rate we use sort of to pull that to translate into these processes 8.8. And as you can see the biller continues to weaken and the company will continue to benefit from that U.S. dollar to full exchange rates.
Operator: Thank you. The following question is from Edward Sterck from BMO. Please go ahead.
Edward Sterck: So I've got a few questions to ask, for you today. The first is with regards to the remaining I suppose resource life or reserve life in the North and Central lobes and how much longer do you expect to be mining material from those locations versus the south lobe?
William Lamb: So if we look at where we are at the moment, we've mined a lot of north lobe material in the back end of 2014 and we expect to continue mining into early part of 2013. If I look at the estimates, we almost only have about 1 million tonnes of north lobe material left. So as we move into the back end of 2015 and really for the next 11 years, the majority of material is going to come from the south lobe and I expect it to be between a 70-30 average split, 70% coming from the south lobe, the remainder coming from the central lobe and every now and again as we do a bench lower, we will have a very small quantity of material coming in from the north lobe but it really doesn't affect the overall production mix going forward.
Edward Sterck: And that split of 70-30, you expect to be maintained broadly through the rest of the current mine plan?
William Lamb: That's correct.
Edward Sterck: And then second question is just on the revenue guidance you've given, what's the assumption within that revenue guidance regarding special diamond revenues?
William Lamb: I've actually checked through a lot of people around, when people need to be fixated on the average dollar per caret for the exceptional stone tenders you only have to have one diamond in there and the results look great. But the next time around we don't have that same quality stone buy we have two others which we go for stock in lower value and everybody seems to be disappointed with them we didn't get $40,000 per carat. So the way we actually approached it is we will plan to have three exceptional stone pendants through 2015. We put on average price of value per tonne of between $30 million and $35 million for each of those and that's really now based on experience and there is a certain components that we will be mining and what we expect to recover based on the surrounding blocks when we are mining in that area. So the revenue guidance looks at what we expect to get from the three exceptional stone tenders as well as using then the historical resource value per center, south and north lobe and then looking at the production mix based on where the diamond is actually is going to be coming from. That also then takes into consideration setting aside at least one tenders worth of sale so we can be working on that front instead of wasting I guess sort of ample amount when we look at our dollar sales which is what we have done over the past two and a half years.
Edward Sterck: And then just my final question, the plans upgrades I am imagining that that's really just to do with the changing mechanical properties of the ore. But is it expected to result than the improvements in the recovered grade or anything like that overall?
William Lamb: Yes I think this is going to, I am smiling. It is going to be another one of those areas where people will start to question a potential drop in the overall dollar per carat, so at the back end of the process and a little bit of color for everybody on the call then. When we recovered the first large stone and now back in February 2013 we changed the top size of material that the plant treats and we went to that side based on what the downstream processors could process. And that was 35 millimeters. But what we have seen is that the size of the padding which now goes out the plant after the DMS is fairly is large. And we do believe that they could be a component of lockdown within that. And so as part of the plant optimization we are adding in a tertiary crushing process, so once we’ve actually done our primary diamond recovery, recovered all diamonds and hopefully before we have broken anything the tailings from those processes will actually go through a tertiary crushing stage down to 20 millimeters from the current 35-40 millimeters which we see going up. So we do expect to see an increase in the recovery of fine diamonds and plus increase in the total volume of diamonds which we’ve actually recovered. And a point to note here is when we start to recover diamonds which are smaller they are not all going to be averaging the 600 plus dollar per carat which we’re looking like averaging at the end of this year. But actually will most probably average at $40 to $50 a carat. So even though we’re increasing the volume of diamonds you will see an overall drop in the dollar per carat sold. But I think this is where we now start to look at it from just a base economic the increase in dollar per tonne processed increases. So we do then expect that to increase our margins because it’ll still cost us the exact same amount of money to process that tonne. So Ed to answer your question yes we do expect sort of an increase in the volume of diamonds recovered, they will be finer diamonds and that’s specifically because of the addition of the tertiary crushing process.
Edward Sterck: And roughly what are you sort of expecting in terms of the uplift for the recovered grades?
William Lamb: And it’s very difficult to say and I have come up with a very open honest answer, when we process the material from the north lobe and the north has the finest size distribution prior to actually changing the top size on the process plant. All of that material was weathered. So we have a relatively good idea of what we should recover if the material goes through the plant exceptionally easy with 70% to 80% of the material reporting to the thick net of these circuits. When we now me I have the tertiary crushing circuits even with the mass balance and the size distribution modeling. It’s still very difficult to predict what component until what we’ve seen recover previously is actually going to be liberated by the tertiary crushing circuit. If you wanted a stab in the dark answer we must only looking at anywhere and range would be between 2.5% additional -- or additional diamonds but that’s not only the sort of 0.1% revenue.
Operator: Thank you. The following question is from Christopher Welch from Pareto Securities. Please go ahead.
Christopher Welch: I was wondering if you give a bit more color on how you plan the exploration campaign going forward and if there is any more information on the exploration losses available?
William Lamb: First, as far as exploration concerns we are busy with not yet [audio gap] ground tier physics and where we’re starting off with BK2 which is sort of the kimberlite further as the way we do expect it to have the ground tier physics completed before the end of the year, why we want that for so we can actually get a full extension of the first extent to the kimberlite we will then use that to determine our overall sampling program and campaign through I guess the first quarter and into the second quarter of next year so we can actually have the material on-site so when the BSP is delivered and is up and running. So we’re starting out with that process, we almost really follow and just pretty much copy cat that into the AK11, AK12. Those are the three primary kimberlites which have been identified and as far back as 1969 to contain diamonds and we’re really now looking for a sample of diamonds which will give us an indicative grade of what we can expect across the kimberlite but also more sample of diamonds which is large enough for us to get a decent estimate of the value. So we’re doing the exploration program slightly differently to the way one would I guess the deals would normally follows in that we understand what the overall size is of the kimberlite and before we start spend money of the lineation drilling and then sort of fairly expensive large diamonds drilling, let’s get an indication whether there is going to be any value in doing all of that first. I mean it’s a lot easier for us to do that using large bulk samples, because we have the facilities available after ’08, it does make it a much more prudent way of doing things. So we do expect that have all three kimberlite samples at least one if not both of them we would like to see at least two of samples completed before the end on 2015 and in completing the third one in 2016. The ground tier physics is more specifically when we do this on I think it is Block E where we have AK11 and AK12 kimberlite that may actually be other normally there as well. So if we do identify any additional nominees we have detailed 2015 to drill those out to see if there is anything else on the prospecting licenses which we have.
Christopher Welch: And just if I get a bit of color from your perspective on the rough diamond market environment?
William Lamb: I think if you look at sort of the recent, the weird frac indications are that they kept prices static ALROSA has increased prices slightly indications that we’re seeing sort of coming out of the U.S. as the rough diamond jewelry consumption is concerned specifically since ThanksGiving is a little bit mixed, some good some bad. I think where prices are at the moment that are certainly going to stay as they were over the last three or four months and that is maybe 1% to 2% higher than where we started the year, that was a very rapid rise in the beginning of the year but now that our lobe is back to at full production and more we’ve seen a lot of rationale into the market and the people at the moment are kind of unwilling to spend anything more on rough diamonds because they still haven’t seen the appreciation which we would have hoped in the value of the polished. So I think the market is fairly stable at the moment both rough as well as polished, but with no sort of significant upside depending on what happens on going through the holiday season.
Operator: Thank you. The following question is from Paul Brockington from Margaret Lake Diamonds. Please go ahead.
Paul Brockington: Yes, I wondered if you could just expand on what physics you are going to use in the exploration program?
William Lamb: I’m not exactly sure at the moment I know that they do have crude on stock we will most probably just be looking at gravity and safety surveys at this point. They will be doing it on ground so no aerial surveys and that work should be completed at least on the BK2 as I mentioned before at the end of the year.
Paul Brockington: I have a second follow-up question and that relates to the viewings in Botswana in 2015 as you know that published on the Bonas Broker Web site and I assume these are probably date set against the base viewings as well is that a correct observation?
William Lamb: That is correct and what we find is we actually had in November the November sale was a pure Botswana sale. And we did that obviously as a test to see how well things would go. We were actually pleasantly surprised by the results and the results there actually came out significantly better than what we had expected. And that was specifically I think to do with not just the quality of the diamonds which we have and I think the reputation we have for what we put out in the market, but also because that sale was aligned with both what is happening in Southern Africa [indiscernible] and [indiscernible] selling but we also then obviously very strongly aligned ourselves with the BS Stock as well as [indiscernible] diamonds.
Paul Brockington: And your dates for setting special stone sales like [indiscernible] that will just be as you proceed through the year?
William Lamb: Yes, it’s too difficult to predict when you recover a 100 carat stone it would be great if we could say we can recover one every day but we know that that’s never going to be true. So it is based purely on occurrence and when we have sufficient stones for what we feel is a valuable thing as to get the people down and to have a look.
Paul Brockington: And one last question are you considering running a tour relating to the time around Indaba?
William Lamb: Not during Indaba and we will look to have an investor tour starting midyear, because the plant optimization project is not finished yet it is sort of anywhere up to 780 people on stock at the moment from a safety perspective. There’s no real value in having people on stock and now sort of trying to config, I’d rather have the guys on site focused on getting the plant optimization to finish getting the commissioning done and then we can take investors in there to have a look.
Operator: Thank you. [Operator Instructions] The following question is from Edward Sterck from BMO. Please go ahead.
Edward Sterck: I had to come back for another one. Just on if memory serves you are currently using contracts miners at Karowe and I seem to recall that the contract the initial contract was for two year period which I guess would be ending around now. But are you planning to continue to use contract mines or are you looking at owner operator or a change contracts or anything like that?
William Lamb: Ed we have looked at that and the simple object we are going to continue with contract mining at this stage. For us to now go back in and the guys on the plant did an extensive amount of work looking at the transition to go to own operated, but certainly you’re then looking at sort of having to fund a significant amount of capital when you start to look and operate the OEM maintenance all those other things we’re looking at. And we have gone for a contract of which well is now mobilizing larger trucks if not so as we now start to increase the waste stripping. We are very fortunate and if you go back to the table and have a look the cost don’t increase significantly even though we are going deeper in the pit and moving a lot more material. And that is sort of because the use of the larger trucks specifics for the waste mining has a positive impact on how we go forward from here.
Operator: Thank you. There are no following questions registered at this time. I would like to return the meeting to Mr. Lamb.
William Lamb: Well I’d like to thank everybody for dialing in. If we look at sort of where Lucara has come from where we started 2013 with $90 million revenue forecast to where we expect to finish 2014 at in excess of $250 million. I think it's sort of because of everybody on the call and a lot of other people that we've been able to sort of achieve what we have. So we thank you for your support and we look forward to a great 2015 again doing what we said we were going to do and continuing that trend, so thank you everybody and if I am sort of going to speak to you and have a good holiday season.
Operator: Thank you. That concludes today's conference call. Please disconnect your lines at this time and we thank you for your participation.